Operator: Ladies and gentlemen, thank you for standing by. I'm Emma Clark to your Chorus Call operator. Welcome and thank you for joining the SAP 2015 First Quarter Earnings Result Conference Call. Throughout today's recorded presentation, all participants will be in a listen-only mode. The presentation will be followed by a question-and-answer session. [Operator Instructions] I'd now like to turn the conference over to you Mr. Stefan Gruber. Please go ahead.
Stefan Gruber: Thank you. Good morning or good afternoon. This is Stefan Gruber, Head of Investor Relations. Thank you for joining us to discuss our results for the first quarter 2015. I’m joined by our CEO, Bill McDermott and Luka Mucic, CFO, who will both make opening remarks on the call today. Also, joining us on the call for Q&A, our Board Members Rob Enslin, who runs Global Customer Operations and Bernd Leukert who leads product innovation as well as Steve Singh Head of SAP Business Network. Before we get started, I would like to say a few words about forward-looking statements. Any statements made during this call that are not historical facts are forward-looking statements as defined in the U.S. Private Securities Litigation Reform Act of 1995. Words such as anticipate, believe, estimate, expect, forecast, intend, may, plan, project, predict, should, outlook and will and similar expressions as they relate to SAP are intended to identify such forward-looking statements. SAP undertakes no obligation to publicly update or revise any forward-looking statements. All forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from expectations. The factors that could affect SAP’s future financial results are discussed more fully in our most recent filings with the U.S. Securities and Exchange Commission, the SEC including SAP’s Annual Report on Form 20-F for 2014, filed with the SEC on March 20, 2015. Participants on this call are cautioned not to place undue reliance on these forward-looking statements which speak only as of their dates. Please keep in mind that unless otherwise noted, all numbers referred to on this conference call are non-IFRS and growth rates are non-IFRS as reported. And finally I would like to point out that we will hold SAPPHIRE NOW in early May in Orlando, Florida. It’s a financial analyst program and an evening investor reception on Tuesday, May 5th. We look forward to see you there. And now, I would like to turn the call over to Bill McDermott.
Bill McDermott: Thank you, Stefan, and thanks to everyone on the call for your time today. We really appreciate your interest in SAP. During the first quarter of 2014, SAP unveiled the nature evaluation of our strategy to become the cloud company powered by SAP HANA. The focus of this strategy has been to help our customers reinvent their business models as digital businesses and to make digital simple. Today I’m pleased to share results that demonstrate we continued successful execution of this customer driven strategy in the first quarter of 2015. As customers look for the fastest way to consume innovation, no competitor offers more choice or debt in the cloud than SAP. In Q1, cloud saw triple digit growth at a 131% and we ended the quarter with about 80 million cloud users, the most in the enterprise software industry. Software and cloud revenue grew 24% which was our fastest growth rate in the last 12 quarters. This puts us right on track to deliver on our guidance for the full year. SAP’s success remains anchored in the strength and widespread adoption of SAP HANA, as the de facto platform for in memory computing in the enterprise. Our next generation Suite SAP S4 HANA gained robust early traction with over 370 deals. Keep in mind, we only just launched this breakthrough solution in the first quarter. MO a multinational power company selected SAP S4 HANA to transform its business operations model. Accenture and World Duty Free have also recognized the potential of S4 HANA innovations. We are seeing strong S4 HANA adoption across all regions including developing markets like China, with China Tobacco and Anton oilfield both selecting S4 HANA. As Stefan and I, we will provide a detailed roadmap on how we will help our customers make this transition into the digital economy with S4 HANA. Let’s talk briefly about how SAP is meeting the needs of customers in this digital economy. Customers want to run in real time, it’s now firmly established that the disc based data base cannot be handle the data explosion in the enterprise. This is why customers continue to choose SAP HANA across broad range of huge cases and industries. We now have more than 6400 total HANA customers that is double the number from only a year ago. SAP HANA also continues to evolve as a development platform. The HANA cloud platform, our platform as a service offering enables organizations to extend and customize SAP applications quickly and easily in the cloud. This makes transitioning to S4 HANA a whole lot easier for customers. This new offering from SAP is building a significant momentum and has already attracted 1,400 customers in a very short period of time. Partners including [indiscernible] and Accenture are building new and innovative applications on the HANA cloud platform. In Q1, we also launched Simple Finance for the public cloud which leverages the native multi-tenant capabilities of HANA and seamlessly integrates with our other cloud and network solutions. Simple Finance is also driving our fast growing private cloud business. For example, La Trobe University in Australia went live in Q1 with Simple Finance delivered in the manage cloud. Customers also want to run networked. The SAP network vision is to connect people, devices and businesses in a single digital value chain that goes beyond the four walls of the enterprise. We aim to drive a new era of inter-enterprise collaboration and commerce for our customers. Our network strategy will deliver networks that cover all major categories of enterprise spend. Ariba for business-to-business commerce, Fieldglass for contingent workforce and Concur for travel are the first three networks we’ve now brought together under a single business network division. Our business network segment, subscription and support revenue grew to EUR306 million in Q1, a growth rate of over 200%. Ariba continued to ramp network participation with new customers such as Commerce Bank, ABS-CBN and Kennametal. Fieldglass is spreading its pioneering vision of how the flexible labor procurement and management process should work with customers like Omnicom. In its first full quarter as part of SAP, Concur is already seeing the benefits of operating at a global scale with the support of the SAP field. New customers included Whirlpool Asia and Politico. Combined, each three businesses provide unparalleled visibility to help businesses run more efficiently and collaboratively reinventing commerce between companies. Finally, customers want all these capabilities so they can run simple with our line of business cloud applications and our private cloud solutions. For example, run simple means engaging the total workforce. With SuccessFactors and Fieldglass, SAP is the only company that can manage both permanent and flexible workers globally. Employee Central has ramped to more than 640 customers from 330 a year ago. This is more than 90% growth in customers in just 12 months. Employee Central is localized for 71 countries with payroll localized for 28 countries while our main cloud competitor offer solutions in the U.S. and Canada. In Q1 top organization such as Cathy Pacific and the City of San Diego selected SuccessFactors HCM solutions over our key competitors. In fact we saw high double-digit number of competitive HCM cloud wins. Run simple means real time custom engagement on any device in any channel. Only SAP can help businesses track and engage customers in real time across all channels and seamlessly execute and fulfill commerce in one end-to-end value chain. In particular, SAP cloud for customer, our native Salesforce management and service solution is continuing to grow in triple digits. This is the fifth consecutive quarter of triple digit growth. We had numerous wins in Q1 with our cloud for customer solutions and in some cases our customers are replacing their Salesforce implementations with our cloud for customer solutions. Customers choosing SAP include WMF Group in Germany, UAE Exchange in Abu Dhabi to name a few and we are only getting started. Run simple means running our customers’ mission critical business applications in the cloud so they can focus on growing their business. With the HANA enterprise cloud, SAP is moving customers’ mission critical processes to the cloud faster than ever. Whether through SAP or our main partner IBM, customer see this is the fast, low risk entry-point which gives them immediate value. We will continue to leverage our partners to deliver our HEC solutions, thereby limiting SAP's data center investment and footprint. By the end of the year, we expect to see more than the third of HEC or HANA Enterprise Cloud new business to be delivered through partners. Finally, run simple means inventing new business models to grow in the digital economy. SAP has the perfect combination of assets to lead the internet of things or Industrie 4.0 and cause a real revolution in the market. This represents a huge opportunity for SAP and our customers, with 50 to 70 billion connected devices by 2020. SAP HANA and S4 HANA will help companies manage their assets better and derive value from connecting their operations technology with information technology. With the SAP Internet of Things big data platform, our customers are now able to build new applications that uniquely combine predictive analytics, real time event processing and context aware, real time insights. Seamless integration to the business network will offer automated ordering and dispatch of service providers for predictive maintenance of assets as well. Early customer examples include Kaeser Kompressoren with predictive maintenance and service and the Port Authority of Hamburg with connected logistics. Significantly, one of the world’s largest and most revered industrial manufacturers Siemens will base their Internet of Things platform on SAP technology; will share more on SAP's Internet of Things vision and strategy at Sapphire. In summary, SAP's first quarter shows the customers are embracing our platform, our applications and our business network. We are seeing heavy win rates, strong pipeline and enthusiasm around the world. Every business needs to transform to meet the opportunities of the digital economy. SAP is ready to deliver non disruptive innovation and help businesses run real time, run networked and run simple. I'd like to thank our more than 74,500 SAP employees whose commitment to helping our customers amazes me every day. Now, I'd like to turn the call over to our Chief Financial Officer, Luka Mucic for a detailed look at our results. Luka?
Luka Mucic: Thank you, very much Bill. In essence of Bill just spoke about our strategy of running the perfect enterprise, we will achieve this from our commitment to customer-centric innovation that drives financial outcomes for our customers businesses. Our strong first quarter results speak by themselves to the success of this strategy. Before getting into the financial and regional results of the quarter in detail, let me briefly mention two topics: first, new cloud bookings will be our key cloud metric going forward. This metric is the key measure for our sales success in the cloud in the given quarter and reflects purchases by new customers and additional purchases by existing customers. It only includes permitted contracts for our subscription businesses such as success factors, customer engagement in commerce and private cloud along with minimum committed fees for concur. It excludes network transaction fees for Ariba and Fieldglass which are pay as you go and then generate upfront bookings. Second, the business network which is now managed by Steve Singh includes Concur, Ariba and Fieldglass and can be analyzed with the existing KPI's for volume throughput and connected participants, along with our new network reported segment. Please see the segment reporting in the interim report published earlier today for additional information on this new reportable segment. So let me now provide some additional color on our strong financial performance for the quarter. We saw as Bill said fast growth in the cloud. With cloud subscription and support revenue up 131% year-over-year. New cloud bookings increased 121% year-over-year, not only are we renting for cloud business, but we continue to have a stable and growing core, with 16% growth in software and support revenue. Our support contract renewal rate is again and again consistently in the high 90% range. Growth in enterprise support was especially strong. Once again our enterprise support offering had an adoption rate in the high 90% range and continues to be the de facto choice for customers of all sizes. This growth in software support revenue and cloud subscription and support revenue at the same time lifted are more predicted revenue as a share of total revenue by three percentage point year-over-year to 66% already in the first quarter 2015. Now, onto the regions staring with EMEA, we had a strong performance in EMEA in both our core and cloud business. Our cloud traction was exceptional with cloud subscriptions and support revenue growing by 114%, driven by a very strong performance in UK among others. As we had anticipated, the micro and political environment continue to weigh on SAP’s business in Russia and the Ukraine. However, Germany had its best first quarter ever for software with double digit growth which pushed EMEA to reach 13% growth in cloud and software revenue for the quarter. In the America’s region, cloud subscription and support revenue grew by 136% which lifted cloud and software revenue to 34% increase year-over-year. We were in particular happy to see Brazil bounce back with strong double digit software revenue growth. And finally we had an exceptional quarter in APJ. Cloud subscriptions and software revenue grew by 137% driven by a very strong quarter in India and cloud and software revenue increased by 38%. Japan had a stand out quarter with strong double digit growth in software revenue. Now let me move to the bottom line. Our cloud and software gross margin was down 50 basis points year-over-year to 82.4% reflecting the ongoing mix shift to cloud and in particular the impact of private cloud. Our public cloud and network businesses already operating at scale and generating a healthy gross margin however our new and private cloud and HANA cloud platform businesses are still in the early growth phase weighing on the blending cloud gross margin in the near term. That said, cloud gross margins nevertheless improved sequentially by 2 percentage points to 65.7%. As we incorporated the full quarter of Concur and continue to improve efficiency in our private cloud offering. Our services gross margin decreased by 8.3 percentage points year-over-year to 9.0%. Our services business continues to be impacted by the transition from traditional large scale implementations through rapid deployment services in HR cloud setups. This means much faster time to value for our customers but also necessitates the reshaping of our services business which pressures our services margin during this transformation. This particular decline was also partially due to specific developments at a small number of services projects. As a result, the overall gross margin was 68.6% a decrease of 80 basis points year-over-year. Despite a significant shift from upfront software revenue to more subscription based cloud revenue, we were able to expand our operating profit by 15% in the first quarter as currency shifted to its tail end. The IFRS tax rate in the first quarter was 13.6% down from 24.1% in the prior year period, the non-IFRS tax rate in the first quarter was 22.3% down from 25.9% in the prior year period. We maintained our tax outlook for 2015 and still expect the full year 2015 IFRS effect of tax rate of 25% to 26% and non-IFRS ETR of 26.5% to 27.5%. Earnings per share were up $0.58 per share up from $0.56 per share in the first quarter of 2014, representing 5% growth. Operating cash flow for the first three months was €2.67 billion up 1% year-over-year. Finally, we are in all confidence reiterating our outlook for the full year. Based on our strong momentum in our cloud business, we expect full year 2015 non-IFRS cloud subscriptions and support revenue to be in the range of between €1.95 billion to €2.05 billion at constant currencies. We further expect full year 2015 non-IFRS cloud and software revenue to increase by 8% to 10% at constant currencies and we continue to expect full year 2015 non-IFRS operating profit to be in the range of between EUR5.6 billion to EUR5.9 billion at constant currencies. Now, we expect to see a currency benefit through the rest of the year and have updated our expectations for the impact on reported growth rates in 2015. If exchange rates remain at the March 2015 average rates for the rest of the year, we estimate an 8 percentage points to 11 percentage points benefit to cloud and software revenue and a 10 percentage points to 13 percentage points benefit to operating profit for the full year 2015. For more details including our expectations for Q2 please see today’s earnings release. So to summarize, the R&D is successfully managing our transformation to cloud with the rock solid core business and very high growth rates in the cloud while optimizing efficiency and flourishing them. This makes us confident that we will deliver on our commitment to drive very fast cloud top-line growth while expanding profit at the same time as we end 2015. Thank you and we will now be happy to take your questions.
Stefan Gruber: Thank you very much. I’d like to hand back to the operator and you can start the Q&A session.
Operator: Ladies and gentlemen at this time we will begin the question-and-answer session. [Operator Instructions] And the first question comes from the line of Philip Winslow of Credit Suisse. Please go ahead.
Philip Winslow: Bill just a question for you, I mean obviously SAP continues to shift its target towards the cloud but one other thing that jumped out this quarter was the constant currency software license growth that you all saw clearly improvement from ’14. I’m wondering, if you can just sort of double click on sort of what was driving that this quarter? Was it some of the headwinds that you all saw in the emerging market starting to fade ’14 versus ’15 or was it some of the geographies you talked about Japan and so forth, or just like you’re seeing there and then just one quick follow up question I asks.
Bill McDermott: Well thank you very much for the question Phil and your kind remarks on the quarter. If you look at the root cause to it all it’s a HANA world now. So HANA has taken charge and with S4HANA significant companies are really starting to reinvigorate the adoption of our core suite and invest in that vision. So, whether it was geographically seeing a bounce back in Brazil or Japan or seeing significant investments in other special accounts in the United States as an example, it really is an innovation driven move in the core business. Now we haven’t changed our frame in terms of the focus on the cloud and we expect that will be the lion share of the large growth, but it is no doubt exciting to see some of that growth come back into the core business. In nominal currency, it looked particularly well as you know and constant currency is still growing so we have a company right now that’s in really making strides and innovation and I think that’s what the customer appreciates.
Philip Winslow: I mean actually just to build on your comments, my follow up was actually about S4HANA and kind of asking the question I asked you back at the launch event, but now that you have a more modernized forward roadmap for the core, how do you guys think that is affecting the core but also affecting some of the new applications and the cloud applications you have having a more visible roadmap over the core?
Bill McDermott: Well it’s interesting and we saw this as we’ve unfolded the strategy over a number of years the more you innovate on the edge with the line of the business cloud of course the business network the more invigorates interest in the core and when you come out with a once in a generation product that’s the most exciting launch we’ve hand in 30 years with S4HANA it’s now a beautiful combination of the core itself being very interesting and exciting to customers because they can innovate without disruption Simple Finance is a well-known success story, simple logistics to follow a big launch at Sapphire we continue to innovate on unique capital management, customer engagement commerce from the whole value chain associated with CRM not just SFA like some of the participants in the market and you see what we’re now doing on the business networks. So it's really the idea of running real time with HANA and S4 HANA, it's running networked connecting the cloud assets in the business network and it's running simple because these companies are way too complicated. The decision-makers in these companies know it and with the extra ordinary reduction in footprint that you get with HANA and S4 HANA, the speed, the throughput and the integrated business processes across the value chain. It really is only way to go and I think the lot of smart CEO's are seeing that. Our job is to make sure we're educating our own people and the echo-system and they catch up to the innovation because clearly the innovation is out and front this time around and that's a really nice position I think for us to be in.
Operator: And the next question comes from the line of Gerardus Vos of Barclays. Please go ahead.
Gerardus Vos: Okay. Sorry for the delay. So just come back on the S4 product cycle. Historically, product cycles have been relatively slow. It looks there is a bit of difference for this cycle, clients have been waiting for S4 for a while. You have got 3-7 declines in kind of Q1. What has been the kind of contribution from a revenue prospective in Q1 and how do you expect that the shape of during the year? Then maybe secondly on the margin impact question for Luka there, you indicated some specific contracts I guess some contracts over runs there, if this is one just Q1 or when do you expect that you normalize around the kind of contracts and then finally on the gross margin, good kind of development in the business networking part. But weaker in the kind of cloud apps. How do you expect that margin particularly the gross margin to shape towards the end of the year? Should we expect that to go back to the kind of high 60's at the end of the year? Thanks.
Bill McDermott: Yes, let me take those questions and then maybe if the Stan wants to jump in on the product growth happy to do so. But first of all on S4 HANA and specific revenue figures as you know we don't breaking out product revenue figures for HANA separately and we won't do for S4 HANA as well. We will however continue to provide you with color on customer adoption as we've done in this quarters call as well and I think for a product being out in the market for 2 months, 370 customer contracts is already a signature remark. One of the reasons for the fastest option for my users perspective if you allow me to do that, not from a technology perspective. But one that has gone through the implementation is actually that this product is unique in the sense that Violet is completely revolutionary we thought, at the functional level it's completely non disruptive because it offers you all of the robust and strong functions that professionals in their key space and the finance space have come to appreciate for decades. Everything that is for evolution area and changes the game completely is under the hood, if you really accept for beautiful theory use experiences that enable you to do radically new things but without changing really anything on the functional level that's why the stability is great, that's why you can consume it very fast and that's why excites customers around the world, at least the ones that I'm talking to and I'm talking to quite many. Now, on the other questions before I invite everybody else to jump in with commentary, on the margin on services you are right it was heavily impacted by small number less than a handful of projects which had cost overruns. We have appropriately accounted for those as you can also see when you go through our balance sheet and take a look at the provisions. We believe that these projects are well taken care of now and we are obviously confident having carefully scrutinized the whole project spectrum as a result that this should be indeed one of in Q1 that should not repeat itself. And generally speaking on the gross margins, I need to remind everybody that as we've discussed in New York we are running vastly different business models even inside the cloud. We have the business network. We have their business network which is already operating at a decent gross margin but has a lot of potential over the coming years to further scale and then improve efficiency over time. In the so called application technology services segment, we also have two very different animus we have the regular public cloud, SAAS applications surround success factors and so on and I can assure you nothing has really changed in their profitability profile, however we have a massive businesses of the private cloud as well as the HANA cloud platform which are still in the ramp up phase when it comes to revenue where we had, as you know last year we made tremendous investments which don’t necessarily continue on one-onto-one basis be less talked about the importance of the partner ecosystem in this environment but of course these expenses are in our run rate and in our base line therefore continue to weigh on the overall gross margins in the short term. That’s why we are saying take a look at each one of these business models one by the other and we clearly have an ambition to improve the efficiency for each one of them in its own right and in this respect I can say with confidence all of them have actually improved in efficiency and we will see the effect over time and also for the private cloud and HANA cloud platform. Any additional comments from anybody, No?
Greg Stapley: Look I can comment on the product cycle, I can give some flavor to it. The reason for that accelerates in adoption is that we went to market in a different approach. Firs to all, we prepared the market to do a massive adoption of HANA as a platform itself and we outlined more than 6400 customers already and we than with the business front for HANA we did the next step and ported an optimized our complete suite portfolio on HANA itself and now we have with S/4 the capability to unleash the value of HANA itself via applications to the end users and all of this is possible in an non-disruptive rate. So this is a key differentiator and a big learning from the past a non-disruptive move from a technical perspective delivering outstanding value for the business is a secret for the accelerated adoption.
Operator: Next question comes from the line of Michael Briest with UBS. Please go ahead.
Michael Briest: In terms of the support or maintenance revenue growth that was about 7% underline, I think that was the slowest Q1 we’ve had for several years. Is this now starting see any impact as people migrate from one premise to cloud or perhaps it has something to do with the issues you had on the project, I mean Germany seems to be down in revenue terms by about 4% but add double digit license growths so I’m wondering if could explain that and the maintenance growth rate what we should be expecting for the rest of the year. Thanks.
Bill McDermott: Yes. First of all, I mean we are very pleased with our support revenue performance. We had and continue to have very low rate for maintenance cancelation, we have a very high enterprise support adoption rate. Of course the growth rate in the past impacted by the higher growth premium support services that until end of last year were still in the support revenue line, now they are shifted over to the services revenue line as we have set which is naturally putting a certain hedge sort of on our growth but that business is absolutely rock solid and you should not calculate with an eruption of support revenue certainly not, this is still considered. In terms of Germany, I think Germany has a very strong profile in terms of its cloud and software business especially on the software support line continues to grow very nicely. What you see in the total revenue development is the fact that in particular Germany along with the U.S. is most challenged with the performance of the consisting business. These are most mature markets which of course trends towards more number of projects and the trends towards the cloud-base consumption in particular in U.S. are more pronounced and therefore in Germany we had quite significant decline in consisting revenue and that’s the reason of the single digit growth in total revenues but in terms of the innovation adoption Germany has been extremely strong and that’s maybe also the best testament that we can bring to the fact that our strategy is right. If we come in the most mature market that we have in the world with the highest customer penetration that we have growth, traditional licenses in double digits while at the same time growing cloud in the high double digits as well then I think we are proving that these innovations are really a solid foundation for our customers especially the strategic ones that have banked for a long time on SAP to expand their footprints of SAP usage and use that to transform their businesses in volatile times. So we are very pleased with our results in Germany and about consulting and services in particular we have set I think everything that had to be set.
Michael Briest: Will consulting margins get back to sort of similar levels to last year in the rest of this year?
Bill McDermott: So first of all on the services business, we see now a combined business that we are steering as one as well and we’ve harmonized all of the service catalogues and service categories between premium support services and traditional services and this of course has a levelling effect you saw that the overall services revenue was flat year-over-year that’s of course a combination of two different factors a larger piece of consulting business that is still declining in mid-single-digits and a smaller piece of premium support revenues that is growing very nicely and that has [indiscernible] to have a higher profitability. So in total, we will need to execute on that transformation completely. We’ve just combined the organizations, we’re now rationalizing it completely as you know we are also in a continuous effort to optimize our organizational structures to shift capacities into those growth areas where we need them. This work is underway for services as well. We expected along with the rest of the optimization measures to be completed by Q3, so for the second half you should obviously see the positive impact of those measures. And by all means services also always had a seasonality, so Q1 profitability also in the services business is the lowest and so already by that fact we should see definitely increases and improvement. Operator And the next question comes of the line of Kirk Materne of ISI. Please go ahead.
Kirk Materne: Bill I was wondering if you could just comment on some of the improvement you’re seeing in regions like Japan and Latin America and how much do you view that as sustainable heading into the remainder of the year versus maybe just a little bit of a bounce of a tougher 2014, I’m just trying to get a sense on do you see real pipeline build in these areas that you think will continue to sort of help drive performance or is this something we should view as a great starting point but it’s not something you guys are necessarily counting on heading into the remainder of the year? Thanks.
Bill McDermott: Yes I’ll start and then I’d be very open to having Rob Enslin build on what’s going on in the field, but basically again everything starts with the innovation led agenda and these customers are benefiting from it being a HANA world and again the introduction of S4HANA has made a particularly strong impact in the markets like Brazil and like Japan that you mentioned. We have a unique way of describing the desirability of these technologies putting it into a plan that’s feasible and making them highly viable in the board room by composing good thought leadership at the front end of the cycle and then high value service delivery and of course a healthy ecosystem. The ecosystem has been very quick to adopt S4HANA in the other innovation areas that I discussed. In particular Rob has put a lot of focus on leadership. We have very strong leaders running these regions and in particular APJ was the number one region in the world for SAP in Q1 and Japan as you rightfully pointed out had a very-very strong showing in our Latin America as part of the Americas bounce back strong with Brazil in particular showing up. And I think what you’re seeing is where we having strong install basis and they see the power of HANA and S4HANA you’re starting to see the investment cycles and this upgrade cycle begin again innovation without disruption as Bernd spoke so elegantly of a moment ago. Rob how do you see it?
Rob Enslin: Yes thanks Bill you took away a lot of the funding and discussion. I would definitely say that HANA theory, the mature market Brazil, UK, Japan. We've had some leadership changes in some other market. Last year, we've gone on the road with S4 and we clearly see the mature customer base starting to look at the future and the investments with SAP and that's come back really, really strong. I would see that those markets continue that level of strength growing through 2015, very, very happy with not only the leadership but the regional level. But in Japan we have a great tandem, Brazil is coming back strongly, the UK is really on final as well. So I would see that, I expect that to continue across the board.
Operator: Next question comes from the line of Ross MacMillan of RBC Capital Markets. Please go ahead.
Ross MacMillan: Thanks very much and my congratulations as well. Bill, I think I calculated cloud subscription revenue SSX and X acquisition of about 28% and I think you comment in your outlook that the guidance for the year implies 36% from the same basis of the high another range and I was just curious whether you think cloud bookings are going to drive an acceleration in the organic cloud subscription revenue growth as we move to the year?
Bill McDermott: Well, first of all Ross, thank you for the congratulations and regarding the cloud we say 25 to 32. So if you did take the 28 as a number for Q1, I can't argue with that I think that's an accurate depiction of the facts and it's right in the middle of the range that we view as rock solid actually for 2015 and beyond. And as you know we extended this same run rate to 2017 and on to 2020. So I think the cloud business is really strong right now. Even you see that continued throughout 2015 based on these robust pipelines. Our Human Capital Management, one of the great moves we made was making sure the user experience on success factors which is good as anything else in the market and then investing in employee central, so you have your core human capital management in the cloud. But then extending the contingent labor management into the business network and combining that as a holistic global solution that no other company in the world can even compare with, certainly one in Northern California comes quick in my mind. I look at salesforce.com and what we are doing in customer engagement in commerce, I talk to CEO's, they are really aboard with salesforce automation has been commodities we have it so as there everyone else. But they are excited about is being in HANA world where they can in real time assess the needs of their customers in every channel including social communities and on any device and being able to predict, stimulate, make real time offers and fulfill in an automotive supply chain easiest things that only we do and that's why it is our core and cloud in combination that make SAP the unique company that it is. So we feel very confident in the cloud at the line of business level, at the enterprise level with S4 HANA and forecast has been reiterated with confidence today.
Ross MacMillan: Thanks, Bill. I'll just take a quick. I had a real quick follow up, if possible. Just something that Luka had mentioned or Bill had mentioned where half of HEC will be delivered to partners by the end of the year. This is just a sort of longer term question but should we start thinking about the public cloud offering as potentially having more of a biased towards partners and therefore that lower goes margin segment if you will the cloud business perhaps being smaller within the mix overtime. Just curious for your thoughts on that. Thanks.
Bill McDermott: Yes, Ross. Thank you. We are very determined to offer our public cloud solutions as an SAP company we've done that obviously in a private cloud environment above we've also done that in the public cloud environment with our line of business solutions such as success factors customer engagement commerce we've done that, of course exclusively with all the business network assets we have feel glass, concord and Reba and when you talk about S4 HANA that's going to be public cloud offering and will come through SAP. I do think in the private cloud environment where you can scale and capitalize on the infrastructure as a service of other premier providers in the market place especially ones that are friendly to SAP where they adapt our reference architecture are extraordinarily high security standards and they offer that as a solution that enables us to scale and do so at a higher margin. It’s a win-win because they get the business model they bargain for and so do we and it gives us infinitely more reach, but in the public and S4HANA world that’s where we’re going to provide it from an SAP perspective.
Operator: Your next question comes from the line of John King of Bank of America Merrill Lynch. Please go ahead.
John King: Two questions; one for Bill maybe on the larger deal side. I guess big improvement there which is welcome. I guess following up on some of the other comments, is that something that’s sustainable and maybe linked to S4HANA constantly pipeline looking for the bigger deals? And then maybe one for Luka on the [indiscernible] the difference between the IFRS and the non-IFRS earnings. That’s been growing now for a little bit of time over the last few years. Obviously 2015 we’re going to still see some exceptional charges from Concur, but maybe if you could just comment given it’s been growing now for a few years. How important is that for you internally that you begin to see those earnings converging, you begin to see perhaps a shrinking long term in the non-IFRS adjustments, if you could perhaps comment on that for the medium term that would be useful? Thank you.
Bill McDermott: Yes on the S4HANA first of all John we are the cloud company powered by HANA. There maybe a generational see-change in the install base and there also would be a lot of competitive installs that will look to S4HANA for new answers. Sometimes these customers will run that obviously in the public cloud because that’s where we’re starting with Simple Finance and logistics all the times. If you make beautiful software in the public cloud it can be run on premise, but bottom line is it is such a generational technology and it is so strategic to these companies that they are likely to look at SAP more broadly in an enterprise play. I just kindly remind you to recognize that we are focused on the growth in the cloud. We will give the customer choice whether they want to rent or buy the software, so I wouldn’t read too much into the fact that the core or the on premise piece was positive one versus the negative some small single digit as you had in most of your models, I wouldn’t adjust those models. I would say that let’s see how it goes the customer will buy the software the way they want it, but there is no doubt that the pipeline for S4HANA is huge.
Luka Mucic: Yes and maybe on your question of the IFRS, non-IFRS measures, it’s true in Q1 we had a very pronounced effect there but it comes from three distinct sources which obviously will look very differently in the future if you look beyond this year. First we had an effect from acquisition related charges of around about EUR180 million in Q1, that’s obviously coming from the Concur acquisition with some respective deferred revenue write downs and so on that you have to take under IFRS. We’ve also guided for the approximate full year amount that we see in the non-IFRS measures around that. Now that is obviously an effect that will disappear then as we have announced. We are not intending to make any major acquisitions in the foreseeable future and if we don’t have any of them we will obviously also not have acquisition related charges. A separate story is the effect of stock-based compensation expenses, that is a very complex calculation because it’s determined basically of course first of all by the population of eligible employees and SAP has gotten bigger obviously and through the course of last year in particular we added more than 7,000 people across the board and quite a few of them are eligible for stock-based compensation. The other effect is even more complex as you need to evaluate the other time value of the corresponding programs using sophisticated formula, but to bring it back to a simple reason the stock price has been pretty accretive through the course of Q1 as oppose to last year and therefore as the stock price has been rising tremendously so has the value of the stock-based compensation expense there. Now that is obviously something that we need to expect for the future. I think it’s important that we harmonize the interests of our employees with the interests of our employees with the interests of our shareholders and stock based compensation is clear and proven motive to do exactly that’s we continue to offer such programs and then of course extend of their expenses will be determined by the success of our share price which is I’m sure you all agree, we would all be happy to see continuing to rise. The last effect is restructuring expenses that is one where we had historically very low values last year and so an optic there as we executed on our simplified and optimized program with round about €126 million structuring expenses. For this year as we have also announced we continue to optimize our organization to be able to invest in those areas where we see growth and downscale in others where this is not the case or where we have overhead that now that we have simplified the company we have rationalized it based on simplified and S/4 HANA we can do things in easier session where we try to get expenses out of the system that has recited in a restructuring charge of 50 million round about in Q1, we have also estimation out there for the full year €150 million to €250 million. Now obliviously we believe that while continued optimization of the origination is a corporate responsibility that we take seriously and that we will continue to do, we are on a good track and we are on a good way of transforming to become the cloud company power by SAP HANA so there should be solid theses for reduction of those expenses in years out.
Operator: And the next question comes from the line of Rick Sherlund of Nomura.
Rick Sherlund: Thanks. The question is, how do you avoid disrupting the market from S/4 HANA if there is a seductive argument there about real time capabilities, the abilities that you put in real time forecasting, budgeting, and predictive analytic etcetera. But the products are not completely out yet may take a while for all those functionality to roll out. So, why do people still by the current product that there is a seductive new product line coming.
Bill McDermott: Hi Rick, this Bill. How are you? This week, this past week actually, the board, Rob, myself, Bernd, Steve others with some of our top customers around the world in Paris and the answer is quite simple. They – 95% of them have already installed HANA or about to install HANA. So they’ve already made that move. And when they see us for HANA they are extremely excited about it. And in the conversations where or not whether they should do it, the question was what’s the most intelligent way to do it and of course simple finance and logistics were high on the packing order for the first two things that they would doing then they would do some of the other things [indiscernible] for the end of the year. So, on the contrary it has been a disruption, I actually think it’s been a catalyst and its really catalyzing the pipeline and its really opening up new and very exciting conversations with the base. I’m sure Bernd and Rob might have some additional colors that they’d like to put on it.
Luka Mucic: Hello Rick. I agree that, by no means it is a disruptive move, in terms of the financial not just technology and it is a step forward and value side product is not completely out yet. I would not agree to that excitement. Yes, we are permanently adding a new capabilities specifically the industry flavors will come over the next couple of weeks or months but on the other side if you have a choice of a customer now to invest in at a solution in which we have out in the markets for years or to select the alternative which have all the capabilities that the previous version had as well plus additional benefit. I think the selection and the choice is easy to make. So as well as the I’d like to [indiscernible] been permanently in discussion with customers if you go into detail discuss their needs and then come to a conclusion the choice is oblivious.
Greg Stapley: I would classify it little bit different from disruption, I would call it very transformative, when we look at these customers they want to go on this journey specifically we have starting point for them where they want to go and we are able to rapidly prototype this turning point to get them evaluated different time scale and we've ever been able to do before. Customers that would have taken 2-3 years to get to that kind of value and I able to test that value in 6 months and that's some of the largest companies. We've also seen the ability of companies that want to actually accelerate the acquisition strategy. But I actually have constraints in their footprint HANA view and I've taken databases that are close to 60 terabytes down to 7 terabytes and increased their volumes of orders upto 328% and we talking about companies that are processing millions of orders per hour. So the level of transformative approach that we can take with HANA, S4 HANA and we're able to put some of these smaller subsidiaries into a cloud based public environment would tell you that this is not as disruptive but much more transformative and how they approach their business.
Rick Sherlund: You would do this more as an inflection point in the market where you can start selling the new capabilities that you are also able to recognize the revenues on upfront licenses that we saw in Q1?
Greg Stapley: Absolutely, we got to prove point the value, the upfront licenses. But also that they can see what 2016 can look like, what 2017 going to look like, what 2018 is going to look like. So from a road map perspective.
Operator: And the next question comes from the line of Adam Wood of Morgan Stanley. Please go ahead.
Adam Wood: Thanks very much for taking the question and congratulations well on the quarter. Just first of all on concord obviously first of the quarter acquisitions come into the number it looks if the run rate they are organic. It was maybe just a touch slow than concord standalone and that's pretty common when you guys there is a situation. When you look at that and you listen to the feedback you have from the customers through the first quarter. Should we expect the similar ramps that we've seen on the product acquisition in the past things like success factors where we've seen a strong acceleration maybe 2-3 quarters past the initial deal coming in and then secondly maybe just the follow up on S4 HANA a great success of 370 customers in the quarter. Could you give us a feel of for new of existing their and maybe the adoption rate of new customers for HANA and you talked delinquently about the drivers of the adoption, are there any barriers that you need overcome for customers to see that adoption accelerates as we go through the sheer into 2016? Thank you.
Steve Singh: Hi, Adam. It's Steve. Just on the concord question first and then the rest of the team can speak to the other questions that you highlighted. Honestly we're very very happy with the results we're seeing as concord who works across the entire GCO organization to reach SAP's customer base and frankly new customers that we can call on together as far as the revenue comment, let's break that down just a tiny bit. Of course that there is purchase accounting impact with certainly is now running through the P&L is also a component that if you look at the cloud subscription revenues that are being highlighted what concord contribute with the cloud subscription revenues is different than the way SAP accounts work. So but in total revenue it's exactly inline with what we've expected. The other point I've just pointing was booking growth, when we saw in booking growth not just concord but also within Arba. The other component with business network group, we are strong with year-over-year as compared to last year in the quarter we've just finished and we're seeing that pipeline continued to be very very strong for future bookings growth across concord and the rest of business network assets. So very very strong position and expect to see that continue for years to come.
Luka Mucic: In terms of the S4, I would tell you it's 50-50 in terms of new versus existing customers, pretty much every new customer is moving with simple finance as the platform as the new transform to finance solution. So 50-50 is the number that we have.
Bill McDermott: Okay, very good. Thank you very much. This was the last question and this concludes our financial analyst call. Thank you very much.
Luka Mucic: Thank you all for joining and bye, bye.